Operator: Ladies and gentlemen. Thank you for standing by and welcome to the Public Storage Third Quarter 2021 Earnings Call. At this time, all participants have been placed in a listen-only mode and the phone will be opened for your questions following the presentation. [Operator instructions] It is now my pleasure to turn the floor over to Ryan Burke, Vice President of Investor Relations. Ryan, you may begin.
Ryan Burke: Thank you, Emma. Hello, everyone. Thank you for joining us for our Third Quarter 2021 Earnings Call. I'm here with Joe Russell, CEO; Tom Boyle, CFO; and Mike McGowan, Senior Vice President of Acquisitions. Before we begin, we want to remind you that certain matters discussed during this call may constitute forward-looking statements within the meaning of the federal securities laws. These forward-looking statements are subject to certain economic risks and uncertainties. All forward-looking statements speak only as of today, November 2nd, 2021, and we assume no obligation to update or revise or supplement statements become untrue because of subsequent events.  A reconciliation to GAAP of the non-GAAP financial measures we provide on this call is included in our earnings release. You can find our press release, supplement report, SEC reports, and an audio replay of this conference call on our website, PublicStorage.com. As usual, we do ask that you keep yourself limited to two questions to begin with. Of course, if you have more, feel free to jump back in queue with that, I'll turn the call over to Joe.
Joseph Russell: Thanks, Ryan. Good morning and thank you for joining us. I'd like to begin with the obvious. Overall, business is excellent. I do want to thank the entire team at Public Storage for their efforts. Our team members from our properties, to the corporate office and back, are focused on driving this level of performance. Across our industry and consistently throughout our markets, more customers than ever before have been drawn to the benefits of using self-storage. We have often characterized additive demand coming from life events, which we've referred to as the 4 Ds; divorce, death, dislocation and disasters. For the last several quarters a 5th D has emerged; Decluttering.  Customers need more space at home due to the shifts in working and living environments across all markets. Unfortunately, the customers that have come to us during the pandemic are now behaving more like traditional customers, meaning they are staying in place as they have come to appreciate the convenience and cost benefit of using cell storage, particularly as residential and commercial spaces become more expensive. With that said, demand remains historically strong. In the third quarter, our revenue, NOI, and cash flow per share foot, reached record levels once again. As we wrap up 2021, the outlook for 2022 and beyond is favorable as well.  The utilization rate of self-storage continues to climb, as it has for decades, which is now at 11% of the US population. Millennials and Gen Zs, two big user groups, are aging into our core customer life-stage, driven once again, by the 5Ds. And Public Storage is leading the self-storage industry's transformation, towards a customer experience, that provides digital, as well as traditional options, across the entire customer journey. We have a deep-seated commitment to listen to what our customers want and they are giving us vibrant input that directs our priorities. This has led to some exciting changes in our customer offerings. One example we have spoken to is our industry-leading e-rental platform.  Today, nearly 50% of our customers are renting with us through the e-rental online lease. Year-to-date, nearly 500,000 customers have chosen e-rental to secure a unit. It's fast, intuitive, and self-directed, taking just a few minutes to complete a rental. An option many customers have been anxious to use. And the quality of this customer has been impressive. In early 2021, we also introduced the PS app, which nearly 1 million customers have now downloaded, allowing easy tools to manage your accounts and navigate our properties digitally and hands free. These are two great examples of how our investment in technology is transforming our operating model.  And it's a win-win for both customers and our operating efficiencies. Daily headlines across multiple industries, however, remind us there are challenging consequences impacting the economy in terms of labor pressure, and self-storage is not immune. We are actively investing in our team through increased wages and new, more specialized positions that are providing even greater upward mobility for our skilled property teammates. On the leadership front, we have also strengthened our ranks, and announced yesterday that David Lee has joined Public Storage as Chief Operating Officer. David previously served as Senior Vice President of Operations for the UPS Store. With responsibility for more than 5,200 retail locations the in the U.S. and Canada, we are excited to have him on board.  Now to another area, I'm pleased to share with you our external growth initiatives. Our 4-factor external growth platform is centered on acquisitions, development, redevelopment, and third-party management. All areas are seeing strong growth. Starting with acquisitions, in 2021, the self-storage industry will likely see approximately $18 billion or more of assets trade. This is a tremendous amount of volume and opportunity. Owners have been motivated to bring assets to market, to monetize their investments, while some also plan for potential tax changes. Year-to-date, we have acquired or under contract on $5.1 billion of acquisitions, or about 30% of the industry volume this year.  This has come -- this is comprised of 233 properties across 21.1 million square feet with average occupancy of 56%, which is providing a significant embedded growth opportunity once we place these assets onto the Public Storage Platform. The transaction spans a wide spectrum of geographies, portfolios, and one-off purchases, with both market and off-market deals. We continue to be looked at as a preferred buyer based on our knowledge, transaction efficiency, and ability to easily fund transactions. Of note, 65% of this quarter's volume is tied to the All-Storage Portfolio, which we are acquiring for $1.5 billion. All Storage is a high-quality Portfolio of 56 properties primarily located in Dallas, Fort Worth.  Dallas, Fort Worth has been one of the best storage -- cell storage markets over the past 15 years. With population growth nearly 2 times that of the national average. Our own Portfolio in Dallas, Fort Worth, produced annual NOI growth of a 150 Basis points higher, than our national average. The All-Storage properties also give us additional exposure to new, higher-growth submarkets, particularly in and around Fort Worth. Many of the properties were recently developed resulting in the current 75% occupancy level which provides significant upside as we move them onto our industry-leading platform. The transaction is immediately accretive to FFO and accretion will accelerate through to stabilization at nearly 6% direct NOI yield.  And combined with owned and other assets under contract, we are expanding our already significant platform in this vibrant market to approximately 200 assets, or by 64%. The remaining 35%, or $1.1 billion of the acquisitions closed or under contract will provide significant growth as well. These assets are geographically diversified across the country, comprised of single acquisitions, to smaller portfolios, ranging in size from $40 million to $200 million dollars totaling 3.9 million square feet, with average occupancy of 50% at a $179 per square foot. Now to development and redevelopment, where our pipeline has grown by $70 million to $731 million this quarter.  We're seeing good opportunity to build new properties from the ground up in addition to expanding our existing assets. Nationally, our development team is underwriting well-located land sites as we continue to leverage our expertise, as the largest developer in the self-storage industry. This quarter, we also added 28 properties to our third-party management platform, increasing properties under management to 145. We plan to reach 500 assets by 2025. Of note, we have also acquired 14 assets from our third-party management platform as well. In summary, since the beginning of 2019, we have expanded our portfolio square footage by 22% with a total investment of approximately $7 billion, equaling 36 million square feet, for an average of $193 per square foot, which has clearly produced strong growth and value creation that we expect will continue. Now I will turn the call over to Tom.
Thomas Boyle: Thanks, Joe. Our financial performance accelerated into the third quarter. Our same-store revenue increased 14% compared to the third quarter of 2020. That performance represented a sequential improvement in growth of 3.2% from the second quarter, driven by rate. 2 factors led to the acceleration in realized rent per foot. 1. Strong demand and limited inventory, which allowed us to achieve move-in rates that were up 24% versus 2020, at 33% versus 2019, 2. Existing tenant rate increases contributed, comparing to a period in 2020 and we were significantly impacted by rental rate regulation in many markets. Now on to expenses. The team did a great job executing in this environment once again.  Lower expenses were driven by property payroll, utilities, marketing, and a timing benefit on property taxes. On property payroll, as Joe discussed, on October 1st, we increased Property Manager wages, which will lead to higher expenses going forward, but will be partially offset by efficiencies in labor hours tied to the operating model transformation we discussed at our Investor Day in May. On property tax, we will expense our annual estimate [indiscernible] through the year, leading to an approximately $0.13 benefit year-to-date and reversing to a $0.13 headwind in the fourth quarter. This will lead to a more stable quarter-over-quarter expenses in the future. In total, net operating income for the same-store pool of stabilized properties was up 21.7% in the quarter.  In addition to the same-store, the lease up and performance of recently acquired and developed facilities, was also a standout in the quarter, adding $53 million in NOI in the quarter, or $0.30 in FFO. As we sit here today, coming off the peak part of the leasing season, existing customer behavior is solid, with move-outs down year-over-year in the quarter, and new customer demand remaining robust. So with that let's shift to the outlook. We raised our core FFO guidance by $0.55 at the midpoint, or 4.5%.  Looking at the drivers, we increased our outlook for same-store revenue, to grow from 9.5% to 10.5% in 2021, that outlook implies a modest deceleration in revenue growth in the fourth quarter, against very tough comps. Our current expectations are for occupancy to moderate from here by about a 150 basis points to the end of the year. That would land occupancy at the healthy 2020 levels at the end of the year. But big picture, the baton has clearly been passed to rate growth where we continue to see strength. Our expectations are for 0 to 0.5% same-store expense growth.  As a reminder, that implies an increase of circa 30% in the fourth quarter driven by the property tax timing I discussed. We also increased our guidance for non-same-store performance given the acceleration of acquisitions and strong lease up of our own stabilized facilities. Now, on the balance sheet, we have one of the industry's leading balance sheet s set up well to finance the transaction volumes we've seen this year. We plan on funding the all-storage acquisitions with unsecured debt, and we remain poised to grow with capacity to fund the continued activity that Joe has discussed. With that, turn it back to you, Joe.
Joseph Russell: Thanks, Tom. We are optimistic about our business and for good reason. As always, the commanding capabilities tied to the Public Storage brand, a high quality, and well-located portfolio, the industry-leading operating platform, and most important of all, our people, have us well-positioned for sustainable growth and value creation. Now we'll open the call up for questions.
Operator: At this time, if you would like to ask a question, [Operator Instructions] And we will take our first question from Jeff Spector with Bank of America.
Jeffrey Spector: Great. Good afternoon. Thank you and congrats on the quarter. I'm not sure if there's -- if we're allowed 2 questions, so I guess my first would be on the new hire, David Lee. Very interesting, I guess, if Joe you can provide a little bit more details on David 's role and what you see him bringing to Public Storage, please.
Joseph Russell: Sure Jeff. First, we're excited about David joining the executive leadership team. We've built over a number of decades now, a great operations team. Today, the teams comprise of over 5,000 and over of our associates, who are committed to deliver exceptional customer service while clearly adapting to the many changes that we've been talking about. So David 's joining us at an exciting time. His role will be to continue leading what we call the customer journey, where we're unlocking and delivering new tools to our teams and offering different channels and experiences right at the front lines for our customers.  And with that, his engagement with the team as a whole will be very important as we move the entire team forward through a very dynamic time not only for the Company, but for the industry. Clearly, his skills were attractive, based on its 20 years or so with the UPS organization. The UPS Store platform more particularly, so we're very excited about his fresh perspective, as we continue the various changes to our overall operating model. And definitely look forward to the contributions he bit -- brings to the entire management team.
Jeffrey Spector: Great. That sounds great. And hopefully if I have a second, Joe, I always consider you to be conservative with your comments, so it's encouraging to hear the outlook for '22 and beyond looks favorable. We're getting a lot of questions on supply in '23, I guess. Can you elaborate? Not looking for guidance, but now what makes you feel comfortable to make that statement and then, I guess, in particular, supply?
Joseph Russell: Yeah, Jeff. The thing that has been a nice window for us over the last year to 2, is the reduction in national deliveries of new storage products. We've talked about that for some time, where this year there's likely to be about $3.5 billion or so of new deliveries, put it on the markets nationally, compared to the peak that we saw in 2019 of about $5 billion. We're likely to see that number trend down again in 2022, particularly with some of the hurdles that are out there from a development standpoint that we clearly see day-in and day-out, that includes the time it takes to get a property entitled, many of the cities are clearly understaffed and we're seeing longer processes actually to get something as simple as a permit or a use or a occupancy use for -- meant for a property come through, to more commanding issues that we're seeing even from the cost and availability of components of construction and then labor itself.  So there's some different and I would say commanding issues that any developer today has to go through to operate in this kind of an environment. So that's likely to produce, again, this down-drop draft that we're predicting for 2022. Now, having said all that, our industry has, you well know, is very fragmented. The development industry as a whole tied to self-storage is too very fragmented and it's hard to predict what level of activity might resurface in different markets based on, frankly, the continued very strong performance of the sector. So we're keeping a very close eye on that. As we've talked about, we've got a deep team across the entire national set of opportunities that we're working on. And we're also seeing activity that's coming through our third-party management platform
Joseph Russell: as well, that is tied to future development. So it will be with us. The question is, how much more momentum comes out of the environment we're dealing with as we speak? Which is one of the long-term attributes of cell storage. It's great business. So we'll see and monitor the impact that's likely to have but we feel at this point we continue to have a very good run rate to go out and capture good land sites with the deep development team and the knowledge we've got across all of our markets.
Jeffrey Spector: Okay, thank you.
Joseph Russell: Thank you.
Operator: We'll go next to Smedes Rose of Citi.
Smedes Rose: Hi, thanks. I just -- I wanted to ask a little bit more about the decision to load up more in Dallas. And maybe if you could just talk a little bit about the process, how competitive it was to get this portfolio. And then I -- correct me if I'm wrong, but I guess I think of Dallas as a fairly low barrier to entry market and I'm just wondering are there any risks to meeting these stabilized yields that you're targeting?
Joseph Russell: Yes, sure. Smedes. First off, I mean, we have a longstanding commitment to Dallas. We've seen, as I mentioned in my opening comments, good growth that's come out of that market. You're right, it has been a market that's been prone to an outside level of development from time-to-time. But frankly, the embedded growth that we see that's tied to a very business-friendly, economy, low cost, including taxes, cost of housing etc., centrally located within the United States, great infrastructure. It's a huge draw for both business and overall population growth.  So what came with this portfolio was an opportunity to leapfrog our position, that was already a top position, that market, where we have had approximately 120 existing assets, as well as a dozen or so third-party management properties and leapfrogging it by another 52 to 53 properties. So huge opportunity to grow and actually put additional presence in parts of the Dallas, Fort Worth market, particularly Fort Worth, that we were lighter in. And Fort Worth for instance, like Dallas as a whole or the Dallas Fort Worth Metroplex, is growing dramatically. So we're really encouraged by that population growth.  It's very strong, good house hold income, and we really like the multiple attributes that we will see and continue to see with our industry-leading position in that particular market. Mike McGowan is with us; I'm going to hand the mic over to him. He can give you a little color on what came through with the process we went through to actually capture the portfolio.
Thomas Boyle: Thanks Joe. So it was a competitive process. It was quietly marketed with more or less a few select people that could take down a transaction of this size. In reference to your size -- your question about the location the new supply coming in, this developer really did a great job of putting a footprint of 50 properties in markets that were so far ahead of his time, out in areas that are having high barriers for new storage to come in. He built large properties in those marketplaces, kept a lot of competitors out at the same time. And really for us, we're starting to see the same type of issues with zoning, of getting new storage in a lot of these newer areas, in these high-growth areas, which are the better areas of the Dallas, Fort Worth market. So for us, it puts us in a great position to be in new markets we want to be in, and gives us a very strong presence in all those markets to do it that fills big gaps for us at the same time.
Joseph Russell: And one other thing, Smedes, from integration and assimilation standpoint, we have as we did with ezStorage, a great opportunity to bring in the majority of their operations team. We're excited about adding those new members to the Public Storage team there on Dallas, Fort Worth. The opportunity for us to integrate these assets and put them under the Public Storage brand will be very efficient. Clearly, we're very skilled at that coming right off the experience we just had in Washington Metro with ezStorage. So we're very confident that in a very short period of time, we can transfer the 60 plus thousand customers that are coming with this portfolio into our own systems and our own opportunity to drive value based on the way that we're going to be able to run those properties as we do our entire portfolio.
Smedes Rose: Great. Thank you. Appreciate it.
Operator: We'll go next to Juan Sanabria with BMO.
Juan Sanabria : Hi. Good morning. Thank you. Just hoping you could talk a little bit about on the acquisition side, the yields going in and target stabilized for the third quarter transactions as well as what's on the dock, including All Storage. You talked about -- a little bit about it on a stabilized basis, but curious on the going in yields from a modeling perspective.
Thomas Boyle: Sure. This is Tom. As Joe mentioned, a lot of the activity in the third quarter into the fourth quarter is unsterilized activity. And so what -- if you think about average occupancies in the 50% I would have that in your mindset. And then from a yield standpoint, we obviously gave you a sense for all storage, what those yields are. Call it 2.6% on their operating platform in the third quarter, so that gives you a starting point. And I would say across the other properties, probably similar type yields even with a little bit lower occupancy. So I think that gives you a starting point. Clearly, we have confidence in our ability to lease these properties up. One of the things that Joe mentioned earlier around our confidence in our operating platform in Dallas, Fort Worth, similar to Washington, DC.  If you look at our ez transaction from earlier in the year. when we acquired that at 86% occupied, we got it to 94% through the busy season. And really strong growth in a market where we're out of inventory, so to give you a sense, a few of those properties we took over in the 40% occupancies and got them up to 90% by the end of the busy season, which is clearly strong leasing activity. In Dallas, similarly, we're out of inventory. We've successfully leased up our activity that we've built and bought over the last several years, and are poised to take over these All-Storage properties here over the next several months.
Joseph Russell: Yeah. Juan, I'd add, as again we've talked to, and Mike and his team have been very focused on for the last year-and-a-half, in particular, a lot of great assets have been built over the last 5 or 6 years. And we've really had the opportunity to capture very high-quality assets, mostly recently built in this cycle. And what we feel are good values, with good opportunities to grow performance. That's why we haven't been shy about taking on any level of un -stabilized occupancy and these assets. As Tom mentioned, we're very confident, particularly in its environment relative to our lease up capabilities, as well as taking on the stabilization in an era where we're seeing some very, very good consumer and business demand, frankly.
Juan Sanabria : Great. And then just hoping you could speak to the latest data points, maybe through October, from an occupancy and a rate perspective. You noted the implied guidance for the fourth quarter is at 150 basis point occupancy moderation. Just curious on how we stand to-date on that?
Thomas Boyle: Yes. Sure. It's made -- to just give you a sense as to where October ended, the year-over-year gap and occupancy, we were at 1.2% at the end of September. That has fallen a touch to around positive 75 basis point gap at this point. So we are seeing that modest moderation in occupancy as we move into the fourth quarter here, but continued strength on rate. And so we continue to see good Growth there. Some of the markets that we're seeing, the most strength, the Southeast Miami, Atlanta, the Sunbelt in aggregate, continuing to see a greater than 50% move in rate growth at this time of year compared to 2019. So, really strong pricing momentum here despite a modest declines in Year-over-year occupancy.
Juan Sanabria : Thank you.
Thomas Boyle: Sure.
Operator: We'll go next to Michael Goldsmith with UBS.
Thomas Boyle: Hey, Michael. Are you on mute?
Operator: We will go next to Todd Thomas with KeyBanc Capital.
Todd Thomas: Hi, thanks. Good morning out there. First question I wanted to circle back to investments for Joe or Tom. With All Storage, now you've disclosed, you're taking up leverage to 4.3 times on a pro forma basis. And there are a couple of other larger scale portfolios, reportedly on the market, and a lot more product besides those portfolios that you discussed. You still have room to take leverage up obviously, you have a lot of access to capital as well. But your dry powder's decreasing a bit if you're looking to stay in that 4 to 5 times range that you discussed at the Investor Day earlier in the year. So I'm curious what the appetite is like for additional larger scale deals, And then we saw that you're issuing $80 million of units for the deals under contract. Should we assume that PSA is open to issuing more equity today as part of the funding plans going forward?
Joseph Russell: So, first of all, I'll address the environment holistically, Todd, then Tom can give you a little bit more color around what I would call the tools in our toolkit. But the environment continues to be very vibrant. We're seeing a vast array of different types of sellers coming to market. And we feel well poised with the capacity of our balance sheet to continue to be a very efficient acquirer. And we want to maintain that because we think it's highly advantageous, even in a market like this, where it's quite competitive depending on the type of asset and the location, etc., that might come through. We feel we're very well poised.  Our balance sheet has been and will continue to be a great competitive advantage for us, and we'll continue to, as I mentioned, look at many of the tools in our toolkit. Tom, can give you a little more color on that, but we're very confident we will continue to be able to embrace this environment with a whole range of different opportunities that may come through.
Thomas Boyle: Yes, thanks, Joe. And as you mentioned, Todd, we do have strong access to capital with our balance sheet position the way it is. And we're confident in our ability to continue to fund acquisition activity with a broad set of tools. So we spoke about using unsecured debt. And we've used unsecured debt, really over the last several years to fund activity. That doesn't mean that we're not open to other alternatives, including common equity or JV equity as we discussed at our Investor Day, to the extent that volumes are both high-quality, attractive financial return, we would certainly be open, and welcome the opportunity to use a broad variety of tools in the toolkit over time. But for All Storage in particular, we plan to fund it with unsecured debt and we feel good about the leverage level where it is today.
Todd Thomas: Okay. And then if I could ask one more, just about the existing customer rent increases. And Tom, when you look at the 14% of revenue growth in the quarter, you talked about there was a small portion that was related to occupancy. When you look at the balance of the revenue growth in the period, how should we think about the contribution between the higher move-in rates that you described and the impact from ECRIs?
Thomas Boyle: Yeah that's a good question. So really on a year-to-date basis, we've seen a pretty balanced contribution between the move-in, move-out dynamics on one side, and then the existing tenant rate increases, both contributing meaningfully. I would put them roughly on par with each other in terms of the contribution. I do think going forward, one of the things we disclosed is our move-out activity and the move-out rates. So, move-out rates are starting to catch up with move-in rates. They have not caught up yet, but they're starting to catch up. And that will start to be a headwind on the contribution from the move-in to move-outside. but we will still have existing tenant rent increases as a tailwind from here, given the market rent increases that we've seen across the country.
Todd Thomas: Okay. And with the ECRI program would you expect to see that moderate at all as the -- as move out rates catch up a bit there, or you have to -- do you have to just to take your foot off the gas a little bit as that happens on the existing customer rent increases or is that not the case?
Thomas Boyle: Well, I would say that existing tenant rent increases is something that's managed very dynamically across the country, and really across the tenant base. And I think that the way to think about that is, one of the benefits of the current environment is higher market rents and that lowers the cost to replace that tenant if they elect to leave. That kind of base continues to be quite sticky, which gives us confidence to continue to send increases out to the tenant base. As we think about where we're going forward, in fact, one of the contributors to higher move-out rates is actually the fact that we're being successful in increasing rental rates on that existing tenant base. So I would say almost the reverse, which is as we're successful on existing tenant rate increases, I'd anticipate that that move-out rate will move higher. Move-out rate meaning the rent that the people are paying, that do a lot to leave us.
Todd Thomas: Okay. Great. Thank you.
Joseph Russell: Thanks, Todd.
Operator: We'll go next to Caitlin Burrows with Goldman Sachs.
Caitlin Burrows: Hi there. Maybe one on development. This can definitely be a great opportunity, but one of the hurdles is that ability to continue getting land in attractive areas. Just wondering if you could go through how this process is going now and any difficulties that you're running into to continue it,
Joseph Russell: Well that goes right down to the knowledge and the focus you have to have, relative to what's transpiring in any given submarket, so as I've spoken to, we've got a very deep-seated team across the entire portfolio that we operate today. And in markets that we continue to look for additional growth as well. The opportunity to acquire land over the last year-and-a-half or so has been somewhat elevated because we've seen that tapering down of delivery. So not quite as much as a ground-up development momentum, again, coming from a very fragmented set of developers out there. But lands still very competitive.  There's a lot of knowledge you need to have to find and locate the exact right location that's complementary to future growth of the particular asset, the kind of dynamics that come from competition, as well as population growth, etc. A lot of different factors come into the way that we are able to select land sites very differently than most, because of the amount of data that we have day-in and day-out, relative to our presence already across 39 states, and being a top owner in nearly every one of those submarkets. The business though it's very entrepreneurial from an overall self-storage standpoint. So there's competition that can come through. And as I mentioned, in some cases that may become more elevated than we've seen over the last year and a half.  Keeping a very close eye on it, but we feel like we've got very good tools to not only find great land sites to actually execute, even in an environment where it's tough to get either entitlements and/or justify the cost that are tied, particularly from component costs and labor costs that are playing through to actually develop facilities in an environment where we're seeing a high degree of inflation at the moment.
Caitlin Burrows: And actually on the inflation point, I was wondering, just given, obviously revenues are up a lot, the business is really strong [Indiscernible] down. Can you go through what impact do you think inflation is having or will have on your business both from a revenue or expense side.
Joseph Russell: Well, one thing that's advantageous to self-storage in general, is the fact that we have a month-to-month lease business. So it's a huge opportunity to actually react to the cost pressures that may play through from inflationary pressures. So, that's an advantage -- the product itself affords us to actually monitor and react to any of those inflationary pressures. We're confident that we can maneuver through those pressures, but it's something we have to keep very close to. And that's why we -- in every part of our business, we constantly look for efficiencies and the ways that we can continue to look at operating and running our business as cost effectively as possible.
Caitlin Burrows: Got it. Thanks.
Joseph Russell: Thank you.
Operator: We'll go next to Ki Bin Kim, Truist.
Ki Bin Kim: Thanks, and good morning out there. So a simple question on same-store revenue. If market rents don't increase in 2022, how much built-in upside is there already in same-store revenue?
Thomas Boyle: Looking for 2022 guidance already, Ki Bin?
Ki Bin Kim: Not guidance. This is inside the -- below the low point. So even if market rents don't grow, how much is the starting point, do you think?
Thomas Boyle: Yeah. Well, I think there's a few things there. One is, we continue to see strength in market rents. And so I understand the question you're suggesting, but I think that we continue to see strong demand for self-storage across the country. But if you look at the markets with the strongest growth, really driven by macroeconomic demographic, and population shifts that we think are poised to continue here, which is helpful. So clearly, there has been a move in market rents higher and existing tenant rate increases have been moving the current tenant base higher alongside that.  Now, over the course of last year, and really the -- through a good portion of this year, and in some markets continuing today, we have had pricing regulations on us because of state of emergencies and the impact of the healthcare environment. And that's definitely been a headwind as it relates to the existing tenant base and moving them. in the same manner that market rents are going. So, I think another way to say that is there is some embedded rate growth that's available to the extent that we will continue to see normalization from a healthcare standpoint, and the state of emergencies continue to expire. The most notable of which is in Los Angeles County not related to pandemic, but related to fire several years ago that we continue to monitor.
Ki Bin Kim: And how impact full was that? I guess said another way, how much money was up from the people as it compares to portfolio? Just to get -- just for us to get a sense of how meaningful that could be.
Thomas Boyle: Yeah. So one of the things that we've -- that we look at is, what the impact of those pricing restrictions have been on us versus what our models would have otherwise suggested that we send the increases out at. And I ran these numbers for last quarter, so I'll give you precisely what it was for last quarter. I don't have it for this quarter, but through the first part of the year, first-half of the year, it was about a 300 basis point negative impact to same-store revenue growth in the first-half of the year. So anticipate that that's largely remained pretty consistent through the third quarter. But that gives you a sense of the magnitude.
Ki Bin Kim: Got it. Alright, thank you.
Thomas Boyle: Sure.
Operator: Well, go next to Rob Simone with Hedgeye Risk Management.
Rob Simone: Hey guys, thanks for taking the question. Hope all is well. I have a longer-term question on third-party management. You guys are somewhat unique in that unlike some of your peers, and it's a credit to you, you actually attribute expenses to that platform specifically, which is really helpful. Between now and the 500
Rob Simone: stores. What is the crossover point for you guys? Or could you talk a little bit about the crossover point when you get firmly into the green in that business. And then from a margin perspective, what do you think that could potentially scale to? And I ask that because we're used to looking at property management fees as a singular line item with a lot of the costs kind of buried in other segments or in G&A. So just trying to pick your brains on how you think about that.
Joseph Russell: Yeah, sure. So, there's a couple of components in there. One is obviously, we've been ramping the size of that business, and one of the most vibrant areas of demand from our customer base for that business line is from folks that have developed new properties. And so as we take on those properties, the profitability of a new property is less than one of one that has stabilized obviously, given the revenue nature of the fees. And so as we ramp that program, similar to our development business almost, there's a ramping of the profitability of each individual store. So set another way, it's going to take several years before the volumes that we're anticipating really start to produce the P&L impact that you might anticipate.  The second piece of your question relates to what are the margins of that business? And there's a couple of factors there. So one is clearly the geographic mix of the properties themselves, what the operating costs are that they're tied to them, but if you just look at them overall and you say, okay, where can we get different margin basis versus the fees we're charging? And I think, a reasonable margin is probably in the 20s to 30%. But again, a lot of variability as we add a significant number of properties to that's store base over the next several years.
Rob Simone: Got it. And would you guys ever consider -- I mean, I know obviously you're deploying a lot of capital right now and there's still some capacity, but would you ever consider a JV Program with maybe a capital partner? I know Joe mentioned in his remarks that a lot of folks out there are rethinking about their timing to an exit. Are there opportunities to do a JV program where you also participate in the third-party management? And it just -- it grows the pie so to speak.
Joseph Russell: There will likely be opportunities just like that, Rob. So I would tell you that we're open to a variety of different scenarios as we're engaging in different ownership groups, whether they are currently or anxious to get into self-storage. So that's definitely something that we'll continue to evaluate. And as those opportunities arise, we'll certainly be able to give you more color on those.
Rob Simone: Yep. Understood. Okay. Just thinking about the strategic thinking. All right. Thanks, guys. Appreciate it. Be well.
Thomas Boyle: Okay. Thank you.
Joseph Russell: Thank you.
Operator: We'll go next to Jonathan Hughes with Raymond James.
Jonathan Hughes: Hey, good morning on the West Coast. Just a continuation from Todd 's question earlier on using equity financing for acquisitions. Did those sellers ask for the 80 million of units to avoid triggering tax events or did you offer those as a sweetener to get a deal done? We just haven't seen, I think, shares or units offered since Shurgard 15 years ago.
Thomas Boyle: Yeah. It's a good question. And it really is driven by the fact that there are sellers out there that are interested in accepting our shares as currency, and that's something we're open to. You're right, it’s the first time we've done it in a number of years. But we're open to it, and it can be an attractive way to transact with the sellers that are interested there.
Jonathan Hughes: Okay. And as perhaps the share price moves a little higher, cost of equity gets a little more attractive, you would be open to using those shares or units for large portfolio deals, say like another several billion-dollar acquisition, that fair?
Thomas Boyle: Sure. I think the way we think about the return profile of our deals is typically on a non-levered basis. And so we're evaluating what the return profile is, either on a leverage neutral basis or unlevered basis. And so as we look at ultimately the financing of these transactions, we've had the opportunity to continue to use unsecured debt and preferred as the core piece of the capital structure, but as volumes grow, it will make good financial sense to continue to broaden the sources of capital, and the benefits of that growth will continue even with using maybe higher costs equity or JV equity, potentially.
Jonathan Hughes: Yeah. Okay. And then I just have one more, if I may. One of your peers said they expect a greater than inflation level of on-site labor cost increases next year. It's fair to say we'll see that maybe even slightly a higher level from your portfolio since you did just stomp wages, 7.5% a month ago.
Joseph Russell: So as I mentioned, Jonathan, yeah, the labor market is highly competitive. It's definitely somewhat unpredictable as well. But I'll tell you it's a difficult time to attract and retain personnel at any level of skill across the entire organization. So we're going to continue to look at the benefits of making either changes to wage rates and or balancing that with a variety of different efficiencies we're seeing with the transition of our operating model as well. So we're going to continue to monitor that and likely see, again a very competitive environment going into next year.
Jonathan Hughes: Alright, that's it for me, thanks for the time.
Joseph Russell: Thank you.
Operator: [Operator Instruction] We'll take the next question from Ronald Kamdem with Morgan Stanley.
Ronald Kamdem: Hey, thanks so much for the time. When you talk about -- I think you made a comment about the expansion of the portfolio, 19% spent 2020. Clearly you're in a very strong market, strong demand, and so forth. But over the next 2 to 3 to 4 years, does that lend itself the opportunities to think about what markets you really want to own long term, and potentially sell some assets? Probably not today given how strong the markets are but just how are you thinking about the portfolio long term. Thanks.
Joseph Russell: Yes, Ron, that's definitely something that we have a, I would call it a fluid analytical approach too. Meaning that we're always looking to and understanding the impact in value of assets across multiple markets, evaluating the benefit of either continuing owning and/or at whatever point thinking about recycling any level of capital tied to existing assets. So that's an ongoing process that we'll continue to look to and its definitely part of the internal process that we use relative to the way that we're seeing value creation from existing assets. And then the opportunity potentially to recycle.
Ronald Kamdem: Great. And then my second question was just asking the COO appointment question a different way. I know you mentioned opportunities, maybe introduced new products to the operations team. But should we think about this as incremental change? Or is this a revolutionary new ways of doing business and operating? Just trying to get a little bit more color how we should think about the impact of this new COO role.
Joseph Russell: Well, I'd go back to the things that we described in our Investor Day, where we gave a fair amount of detail on the variety of ways that we're enhancing our operating model, through investments in technology and then different channels and different opportunities we're giving customers, to engage with us, across a whole spectrum. As well as the things that we continue to be focused on relative to people development and the types of opportunities internally that we think are very well suited to continue to grow the quality of our workforce. So the role that David 's coming into, isn't new to the Company in the context of our goals and the strategies that we have.  It's just an added level of leadership that we think is prudent as we move the business forward. And we're accelerating the pace of change that ties to the amount of investment that we're making in our people directly, as well as the technological platforms, particularly as it relates to the digitization of the business. So it's one added layer of leadership that we think is well timed and we really look forward to continuing to optimize the way that we're running the Portfolio as a whole, including the way that we're also engaging and giving a variety of different opportunities to our existing employee base. So really good time for him to come into the business, and as I mentioned, we're excited about the fresh perspective he is going to have as well.
Ronald Kamdem: Helpful. Thank you.
Joseph Russell: Thank you.
Operator: We'll go next to Spencer Hallway [indiscernible]
Spencer Hallway: Thank you. With this widespread supply chain issues, we've been seeing an increasing number of companies keeping what's being called just-in-case Inventory. Have you guys noted any incremental business-related demand in recent months?
Joseph Russell: Do you mean from just core customers coming to us the -- differently or trying to use space because of maybe keeping goods at more immediate availability?
Spencer Hallway: Yeah. Exactly.
Joseph Russell: Yeah, I couldn't point to, Spencer, an exact lift in demand based on that, but it wouldn't surprise me based on the variety of different business customers that do use self-storage in a way that's more spot oriented where they may have an elevated level of demand that they need to cater to, and by virtue of that, storage can fit that need quite easily. So there's likely some benefit that we're seeing from that in many markets.
Spencer Hallway: Okay. And then just on the expense side, where would occupancy need [Indiscernible] for us to begin to see marketing costs creep back up in a material manner?
Thomas Boyle: Spencer, I would say that that's a pretty dynamic and local decision that we manage. And I wouldn't necessarily say it's an occupancy-based item. It relates to what we're seeing in the customer funnels. So advertising has a benefit to increase top of funnel, the number of people that are say, searching for Public Storage or are finding Public Storage when they go to search for self-storage. And so, that is helpful in markets where we're seeing top of funnel demand erode. But we have other tools as we're managing revenue. Be it, pricing, promotion etc. that will impact conversion, within that funnel.  And so I would say we're watching the different components of the funnel and what the returns are associated with pulling those different levers. To-date, we continue to see strong top of funnel demand across the board. Web visits, for instance, in the quarter were up North of 20% across the system, calls into our call center were roughly flat. So overall, still very solid, top of funnel demand, which led to the decision-making around marketing in the quarter. As we've demonstrated in the past, if we start to see those dynamics change, we typically do see pretty good returns on our advertising spend and we'll pull that lever as well.
Spencer Hallway: That's very helpful. Thank you.
Thomas Boyle: Thanks.
Operator: We'll go next to Mike Mueller with J.P. Morgan Morgan.
Mike Mueller: Hi. Just wondering, for All Storage, what did you assume for rate growth through 2025 to get to your 6% stabilized yield expectations?
Thomas Boyle: Yeah. One of the things that we looked at within the portfolio is obviously there's a pool of properties that have recently been delivered that we have the opportunity to lease up, and then ultimately stabilize on a rate basis until we go through our underwriting process of seeing what our stores in the area and what competition is, and ultimately what we think we can squeeze from a revenue standpoint within our own revenue management platform, and we'll underwrite those there. And then on the stabilized stores, we call them stabilized, but the reality is, they're not in our platform. And like we're seeing in acquisitions to date, really, through last year we have an opportunity to put our operating platform and systems in place and drive further improvements.  So you can see for instance, where our overall Dallas portfolio rental rates are. And obviously, these properties have their own submarkets and underwritten rates. But it gives you a sense as to the upside in rental rates that we think we can achieve in the portfolio over time.
Mike Mueller: Were you embedding additional rate growth beyond current market or just pulling them up to current market and assuming that it's capped out there?
Thomas Boyle: Yes, it's a combination of where we think rates are today, so spot rates. And then, ultimately, that the runway we see for rental rate activity counterbalanced with one of the questions earlier around rental rate risk due to new development within that market in those submarkets, which is a consideration as we think about forward rents, as well. So, a combination of a number of those things. But I would point you to the presentation where you can see our same-store rents in Dallas punching at $15 per foot versus the in-place rents there in the third quarter at about $11. So there's definitely occupancy and rental rate upside.
Mike Mueller: Okay. Thank you.
Thomas Boyle: Thanks.
Operator: We'll go next to Smedes Rose with Citi.
Michael Bilerman: Hi, it's Michael Bilerman here with Smedes. Joe, we're going to go back to go back to the hiring of a new COO because I think you've gone down, not you, but the Company has gone down this path previously and every time that COO came on there wasn't -- it never stuck. And so I'm just curious at the start to, as you've now rehired for the COO position, what's different this go around versus other initiatives in the past on this topic?
Joseph Russell: Well, yeah. Part of the history, Michael, I don't know if I agree it never stuck. I mean, we've had in our history obviously predating my tenure here, periods of time where you had multiple year COO positions in place and then by virtue of the dynamics of the business, we've made different changes. For instance, taking some senior leaders, for instance, on sabbatical to go over to Shurgard for 1 or 2 years at a time, etc. So it's been somewhat of -- I would agree, somewhat of a fluid position by name, but by responsibility and focus, it's been with us consistently. One of the things that is different relative to the opportunity that we see at this point to bring in as I characterize even more fresh perspective and more additive leadership capability to that overall role as the dramatic growth and change in our business.  As I've noted, we've acquired a sizable amount of assets over the last couple of years, literally the size of some of our competitors. And it's been a great opportunity for us to continue to think about how the business is changing, the different tools that we're putting in place, the investments that we're making, and as importantly, the skills and the development of our employee base tied operations. So it's a great time for us to put even that much more emphasis on the role, and we're excited about what we can continue to do with David's leadership coming in, and the things that we're very focused on relative to the overall effectiveness of our operations team has as a whole.
Michael Bilerman: What are those top three priorities for him in the next call it 90 to a 180 days. And can you talk about any restructuring underneath him in terms of the team, or how you're going about -- as you've talked about the business set is changing. You didn't have 50% doing online, contactless a few years ago. So you talked a little bit about what the priorities are and things like that.
Joseph Russell: Well, here's a number priorities that's coming in one of the business. I mean, that's the way we've all come into the business. Being as focused on the front lines as possible and that's definitely a top priority and it's not to come in and make massive change or retool something that's broke. It's an opportunity to enhance and optimize many of the great foundational investments that we've made that frankly, are statistically, in a whole differently than what you're seeing with other operational platforms. As I mentioned, e-rental, 50% of our customers use e-rental.  That's amazing, where plus or minus 40,000 to 50,000 customers a month are using that channel that did not exist less than 8 or more than 18 months ago. So we're confident that we have a foundation that continues to unlock really good opportunities the way we're running the entire operational team. And we're excited about what we can do with David coming on the team as well.
Michael Bilerman: Can you give us some insights on what David did at UPS in terms of the changes that he initiated, at the store level which my local UBS Store it has gotten a lot better over the years, so hopefully you will driver of that, but talk a little bit about, sort of the characteristics and what drew you to him, about what he's been able to accomplish in this prior rule?
Joseph Russell: Well, there's no question that that platform is very transaction-oriented, it's very customer - centric, it's tied to again, advancement in their own operating model. And we really liked many of the skills and the attributes of that kind of a transactional. environment, and how it relates to what we see in self-storage. So a lot of very good things that we can learn from that environment, and then, he'll be learning from our environment as well, and we can create the best of both worlds.
Michael Bilerman: Great. And just last question on this topic. You don't have a lot of -- I think it's only in the Hawaii asset in terms of having store front retail at the self-storage facility. Is that an opportunity that you're thinking about? And I think someone mentioned revolutionary. Are you thinking differently about the store front real estate that you have? And given the fact you mentioned 60% of people are doing it online, how much is that store differentiation or additive things that you can bring into that real estate to drive incremental cash flow. Could you be an Amazon pickup and delivery service type of thing, it's like -- is that part of the focus at all for the Company?
Joseph Russell: It's a good question, and I will tell you there's all variety of strategic opportunities that we'll be more than happy to share as they evolve. There's a lot of creativity that continues to surround the customer-driven demands that we're seeing as customers continue to shift the way they want to interact with any type of business, particularly ours. And we think they are very vibrant opportunities going forward. And as those arise, we'll be sharing those with you.
Michael Bilerman: Okay. Thanks, Joe.
Joseph Russell: Thank you.
Operator: We'll take our final question from Michael Goldsmith with UBS.
Michael Goldsmith: Good afternoon, Joe and Tom. Thanks a lot for taking my questions. How do you think about the risks associated with doing several large acquisitions at a time, when yields are as low as they've been? And, can you talk about how Public Storage can maximize the growth of these acquisitions on your platforms?
Joseph Russell: Yes, sure Michael. I mentioned we've had obviously a fair amount of volume over the last couple of years, but it ties to the scale and the ability on our part to integrate assets, whether on a one-off basis, smaller, even large portfolio. even when it's highly concentrated, as of what you saw with ezStorage, and now again, with the All-Storage Portfolio in two big metropolitan markets. But it points to the ability that we have from a structure and a scale and operating prowess standpoint. So we're deep in these markets. We've got very strong teams that run these assets day in and day out. Our systems allow very efficient integration. And we've been doing this for many, many years.  And with the investment we've made with our technological platform, we certainly can do it in higher degrees of volume and higher degrees of concentration. The yields that we'll likely see. from this integration are, as we've mentioned, compelling. Again, it ties to the fact that we have the inherent skill and benefit from the investments that we've made in to do just this. So our capital structure as well, due to the continue to fund the kind of growth that we've seen and there's no question the team as a whole, as I mentioned in my opening comments, is continuing to do a great job with the integration and the ability for us to actually improve pretty dramatically the performance on most of the assets we continue to buy.
Michael Goldsmith: That's helpful. And the second year in a row where teams -- the occupancy moderation from the summer to the end of the year is less than in the past, so do we think this is new norm, or is this kind of just kind of a unique circumstances surrounding the last couple years, and we should return to the more seasonal decline in future years. How are you thinking about that?
Thomas Boyle: Yes. So last year was certainly a unique year, where we saw different seasonal patterns because of the nature of the healthcare environment last year. And we didn't see much if any of an occupancy decline as we moved through the year. This year, we did see a more seasonal pattern and frankly had the benefit of some of the seasonal demand driver's, things like home sales and DIY projects over the summer, for instance, college students, etc., that will add to demand in the Summer, but then we'll then move out as we move into the Fall. So there was that additive demand this year, but we are seeing a little bit more moderation. One of the reasons why we're seeing that moderation is the continued stickiness of the tenant base.  And so we've had fewer move-ins this year. And so recent move-ins are the most likely to move out. And so we've had a contribution of that benefit and a little bit more seasonality this year. I do think that the seasonal demand drivers that have been driving self-storage demand for years will continue to play out over the next several years, and so we operate a seasonal business and it will be going forward. The degree of it, we'll need to see year-in and year-out, but we are seeing a little bit more this year, but still really encouraging overall customer behavior.
Michael Goldsmith: Just one last one for me. You mentioned the change in tax laws as a catalyst for the elevated transaction volumes this year. Do you expect the transaction volume to dry up next year, or continue throughout an elevated pace? Thanks.
Joseph Russell: Well the amount of motivation seems to be strong. Just put it that way, relative to existing owners wanting to bring more product to market. So Mike and his team continued to be very busy as we transition into things we're working on going into 2022. So always tough to predict, but at the moment it looks like 2022 could be [Indiscernible]
Operator: I will now hand the call back over to Ryan Burke for any additional or closing remarks.
Ryan Burke: Thanks Emma. On behalf of the entire team on our side, I want to thank everybody for joining us today. I look forward to speak with many of you next week and in the coming weeks and take care.
Operator: This concludes today's program. Thank you for your participation. You may disconnect at any time.